Operator: Good morning everyone and welcome to the Digital Ally Incorporated, third quarter 2014 operating results conference call. All participants will be in a listen-only mode. [Operator Instructions]. Earlier today Digital Ally Incorporated issued a press release that included certain cautionary language with respect to forward-looking statements. The company would like to ask you to review the language in the press release regarding forward-looking statements, as they are equally applicable to any forward-looking statements made during this conference call. Please also note, today’s event is being recorded. At this time I’d like to turn the conference call over to Stan Ross, CEO. Mr. Ross, you may begin.
Stan Ross: Thanks Jamie and thanks everybody for joining us today. I have Tom Heckman. Tom is the company’s CFO and will be going over the numbers in quite a bit of detail, but as many of you may have seen earlier today, we did release a press release right prior to the open, concerning the ICP and the success that we’ve been having with some of our new products. So I’d like to talk a little bit about that before we start getting really heavy into the numbers, because for us the ICP is our biggest conference for us and the opportunity to get in front of our potential customers that we every year, and this year was very exciting for us as we went around the conference and looked at a lot of products that our competition had and was quite surprised to see very little new technology out there. We obviously introduced our MicroVU HD compact in-car video systems. As a matter of fact, in the press release you’re seeing that it has won an award as one of the new innovative products for the year. Very similar to what we received from the VuLink that we got in regards to the ambulance market as far as first responders and its capabilities. We also got a tremendous amount of interest in regards to our Bullet Camera. Our Bullet Camera was not able to be entered in to the contest, but it was real quick to be seen and observed and commented on its workmanship as our competitors units that have a similar Bullet Camera. Our unit is approxiamlty 30% smaller and 30% lighter and again, it has HD capabilities to where our competition does not and therefore the quality of the picture at the end of the day was much great than any one of theirs. So it’s been a really good show for us. We generated somewhere north of 1,200 leads in regards to the body camera side. We also had well over 400 leads from departments interested in in-car video. All of these also were very interested in the complete package, body camera in-car and the VuLink. So Tom is going to go over some numbers and just give you a little insight how are fourth quarter’s even already starting to shape up, because third quarter generated all the excitement and we were out there, we have approximately well over 600 agencies that are out there in some fashion trying our systems that equates to roughly 1,100 units that are in the field for T&E. If you sit there and try to extrapolate what that could mean if you were successful or in the bids and stuff, it equates to well over 25,000 units, and that’s where we stand right now with either actual quotes out there or RFPs that are out there. It’s a very large number. So while the third quarter numbers are not as attractive as we would have liked them, definitely the third quarter was the launch of a lot of excitement and we have gotten in front a tremendous amount of new departments. I’d also reiterate and I made this statement I believe on the last call, but about one out of every five agencies that we are now doing T&Es with our new agencies. We are actually having – being able to get our foot in the door into agencies that in the past we were not able to, because other competitors were already in there and they were trying to possibly – we are just going to stay that route. Our new products are so innovative that at this point in time there is such a clear and distinct difference with our technology that we are now getting our foot in the door. As a matter of fact there was a company there that had a real nice display and was touting the dinosaurs and then touting older technology and I have to agree with them. There was nothing innovative or new out there, outside of what was shown by Digital Ally. As a matter of fact the dinosaur company didn’t show us really anything new either. So we are real pleased, we are extremely excited about the launch of our VuVault.net cloud storage management solution that we have out there. We have several agencies that already have signed up to go to Cloud Route that we are providing. A lot of them still like to have their own servers, but those who want a cloud solution, we have a very good answer for them. It’s a system that’s very capable to meet the smaller departments needs and very expandable to meet the larger needs that are out there. So, I’m really excited about how we are going to finish up this year, and we are also very excited about 2015 and how its shaping up at this point in time. Tom, you want to touch on the numbers a little bit.
Tom Heckman: Sure Stan, thank you, and thanks to everyone joining us today. First of all I wanted to let you know that typically we have the Form 10-Q on file before the call. We are unable to get that done this year. It will be on file with the SEC this afternoon and I encourage everybody to please go there and take a look. It’s a more complete picture of the quarter and what’s going on with the company, than what I will go through. I’ll keep my comments fairly brief here and open it up to questions in a little while, because I’m sure people have questions as to what happened in the financial statements, in particular the P&L during the third quarter. Quite frankly, I look at the P&L in two separate distinct areas; first of all the operating income or loss and then the non-operating income or loss. And unfortunately the non-operating income or loss was huge this quarter and it’s primarily related to almost a $5 million loss, related to derivative liabilities and the convertible note future. That is a very, very complex convoluted and confusing set of accounting literature out there, and quite frankly I struggle with economically what it’s portraying in our financials. If you step back and look at what we did and how the accounting accounted for it, it seems it diverged a little bit from common logical sense. But if you step back, back in March of this year, we were trading between $3, $4, $5 a share and we attracted a $2 million convertible note with an outside investor. The convert price and the warrant price were heavy premiums to the market at that time. I think it was 885 convert and $10 on warrant. So in fact, we thought we did a pretty good of getting the premium on the convert and the warrant price rather that just going ahead and issuing the stock directly to them, which we probably could have done at the discount of the market. It would have costs the company money in essence if we would have issued stock instead of the convertible note. Fast forward, Ferguson happened, the civil unrest happened there, all kinds of crazy things started happening to our stock. We reached $33 a share in September and because of those increases in the market value of our stock versus the convert future and the warrant future pricing, the accounting rules required us to reflect that as a loss in our financial statements. It does not mean we got any less money, it doesn’t mean we had to pay any money, it was meaningless to the financial statements from a cash flow stand point, but the accounting rules made us account for the difference between those two prices as a loss. And let me give you some figures as to how sensitive this thing is and how arbitrary it is. The outside investor exercised their warrants or some of their warrants on September 2. That happened to be our 52-week high; we close at $33.41 that day. If they had done that the day before it was $23.04, so we would’ve saved over $1 million in this accounting non-cash charge that we took. If it happened the day after we close at $18.66, so that would be what, a $1.4 million less of a charge. If it was done today, the charge would only be $0.5 million. So as you can see, it just moves around everywhere and it’s very arbitrary. It’s really meaningless from a cash flow standpoint to the company. We’ve got our money, we’ve got our money back in March and then again in August and unfortunately the accounting rules are the way they are and it’s reflected in our financials. So in any event, I hope that clarifies a little bit as to what happened on the non-operating line. It’s very hard to explain and very hard to understand. I realize that and I appreciate your understanding there. From an operating standpoint, actually I think we’ve got some good things to talk about. Revenues year-over-year were up a couple of $100,000. Our gross profit margins were down just a tab, 54% to 53% year-over-year for the three months and 58% to 56% for the nine months year-over-year. Quite frankly I’m glad it was only that, because in the third quarter we went ahead and made the decision to obsolete and reserve some of our prior version boards and product that was not wireless capable. So we went ahead and reserved those. Took a $250,000, $300,000 hit in the margin because of that and went ahead and got that behind us. So given that charge – absent that charge, we would have actually improved our gross margin for the quarter. From an operating and SG&A expense line, the major increase there is really our legal expenses. I think hopefully everybody is aware or at least know of the Utility Associates Litigation that we are involved with. There is some litigation with Mr. Gans, an ex-Director and there is also a litigation going on with DragonEye regarding some laser product that he sold us, so those are ongoing matters. I’m pleased to say that we believe they are all trending very positively for us and in particular the utility associate’s litigation. We’ve received word during the quarter that the patent offices accepted our challenge of utilities patent, and in fact they came out and in their opinion said that they are persuaded on the evidence that we have a high likelihood of invalidating, I think 15 or 16 claims of their patents, so that’s very positive. At this point now utility has to go defend their patent in patent court and then also the civil litigation we have against them, because of their, in my view egregious acts of targeting our customers and creating fear out there by threatening our customers with litigation or what have you in terms of their patent that we think will get invalidated, it is going on. So we think that that also bodes well. We did hear that the jurisdictional appeal that we applied to the U.S. court of appeals was granted with. They are going to have a hearing on it to determine whether the jurisdictional issues should stay in Kansas or otherwise. But bear in mind guys that this litigation with the utilities was not our marking. These were egregious acts in our view that utility perpetrated upon our customers and other customers in the industry and we had to defend those. That was a lion’s share of the litigation expense for the quarter. We believe now that we’ve gotten patent office to relook at that patent and also the separate impact and meaningful impact on the civil litigation, this thing is going to go in our direction fairly quickly. So this was an abnormal quarter for us litigation wise and we hope not to repeat that in the fourth quarter. That was again around $350,000, $400,000, which was our total increase in SG&A budget for the quarter, our actual over last year. So between those two, if we had not written off the older version boards and had a normal quarter of litigation, then we would have had a small loss $200,000 or $300,000, probably positive EBITDA at that point as well. So in terms of looking in the fourth quarter, I’m happy to report that as we sit here today, half way through the fourth quarter, we are between shipments already shipped and firm backlog on the books that will ship shortly. We are already over $3.2 million in revenue for the fourth quarter. So we’ve got a very good start to the fourth quarter. We were hoping that that trend continues, but obviously that’s not a sure thing at this point. Our international revenues I think were somewhat disappointing in the first nine months and in particular the three months ended September 30, but hopefully you guys saw the press releases that were out. We got PO’s, purchase orders from our Mexican distributor of over $1.4 million in the fourth quarter and we’ve already shipped 550,000 of those PO’s and we expect the remainder to come in over the next 12, 15 months or so. So I think things are turning around in terms of the international revenues as well. So, with that I’ll send it back to Stan.
Stan Ross: Thanks Tom. Yes, you can clearly see guys why we are excited about how the trend is going. If it wasn’t for the large legal expense that we had out there in the third quarter, we would’ve been pretty solid right there to breakeven numbers, and then again the fourth quarter is just shaping up to – it clearly put us in a position that we’ve been hoping to get to for some time and back to profitability and continuing to grow the company. So, we ought to finish up the year strong. We’ve got a tremendous amount of things teed up in regards to 2015. A matter of fact, one of my comments in the release in regards to the 22.5 number is because we did find out that one of the larger order that has been bid to our specs, their funding will not come in until next year. So that’s sort of the reason on one of the short falls on that. But again, it’s shaping up really nice. We ought to have a good fourth quarter and a real stronger 2015 and I can’t emphasis enough; if you are sitting there and if we are fortunate enough to get in front of a department and they are going to compare gadget-to-gadget, we are going to be a very, very tough candidate to beat, because we do just have better quality equipment all the way around. So a little bit of your, the business model of how you would go about something, whether or not you want to pay now or pay later as far as some of the business models that are out there, but at the end of the day we are going to bring the best value and quality to the end users. So Jamie, I think we’ll go ahead and open up the floor for some Q&A.
Operator: [Operator Instructions]. And our first question comes from Mark Halperin. Please go ahead with your question.
Mark Halperin - Time Magazine: How are you doing gentlemen? Good afternoon, good morning depending on where you are at.
Stan Ross: How are you doing Mark?
Mark Halperin - Time Magazine: Very good, thank you. I think you may have touched on it, but I wanted to sort of ask a question related to some guided revenues. What happened between August 28 when Mr. Ross guided revenues for 2014 to be $22.5 million and today where you’ll are not even guiding 2015 revenues to $22.5?
Stan Ross: The biggest thing that happened Mark is we have a rather large order that we were anticipating to come in, to occur in the fourth quarter and it’s clear that they have told us that it now looks like its moved to the first quarter, and so that had a big impact on our numbers.
Mark Halperin - Time Magazine: But the follow up question I have is, is the company and the board in particular concerned about sort of any liability or potential future litigation based on what could be argued as bad guidance in a subsequent run on the stock when it appears. I mean we reached 33 a share in September; that guidance came out August 28. So it appears that at least there were some shareholders that may have relied on that guidance and purchased Digital Ally on the belief that the revenues would meet the $22.5 number. Are you all concerned about additional litigation to add to as you guys sort of stated, this what appears to be a bit of a burden in litigation cost and so that’s my follow up on the guidance question.
Stan Ross: Yes, we are not; we are not concerned about it.
Operator:  And our next question comes from Samuel Bergman from Bayberry Asset Management. Please go ahead with your question.
Samuel Bergman - Bayberry Asset Management : Good afternoon Stan and Tom. How are you?
Stan Ross: Doing real good.
Samuel Bergman - Bayberry Asset Management: Or morning, whatever. A couple of questions, in terms of your capacity, is there a need to add more people on the business that you have right now and in 2015 or do you feel comfortable where the SG&A is?
Stan Ross: I’ll tell you Sam, great question and I probably should have covered it my opening. But we are actually looking at possibly, nearly doubling the outside sales reps force that we have out there. I mean currently we have about 20 reps and trying to cover 18,000 agencies with 20 reps is very difficult to do. And the biggest thing that we have going for us is just, we got to get our products in front of the agencies, because you could take our units and put it up against – our body cameras against the competition and you’re clearly going to see the difference in quality that our product offers. Same when it comes to the DVM-800’s as far as the features and quality that it has too. I mean the products will sell themselves if we can get our foot in the door and it’s just impossible to have 20 guys get in front of 18,000 agencies within a year’s time. So we are very actively looking at increasing our sales force for us as far as getting the products exposure out there.
Samuel Bergman - Bayberry Asset Management: By increase the sales force are we going from 20 to 40 in the year or are we going from 20 to 40 over a period of a couple of years?
Stan Ross: No, the sooner the better. I mean we have a clear distinct lead over the competition and therefore we would like to get this moving sooner than later.
Samuel Bergman - Bayberry Asset Management: And in terms of the body worn camera, in terms of technology it’s better, what about price? How competitive are you on price? Are you far lower and are your margins pretty good on that product?
Stan Ross: Yes, our margins are real good. What you have to look at on this now, if you are just looking at gadget versus gadget, we are going to be a couple of hundred dollars higher than our number one competitor out there. The problem that you have or the advantage that we have is that these guys can go ahead and use their own servers order. We’d be glad to help them with the cloud storage and management solution, but the competition has them signed up for anywhere from three to five years contract to utilize their storage solution and when you start factoring in those prices, we become quite a bit less expensive than our competitors. So it’s just a business model scenario in that regards. They are sort of the more of the cell phone business model to were they’ll sell you a phone real cheap, but you got to buy their services for three years and then you are locked in, so we are very competitive. Again, that’s where I get back to as far as, pricing. An example, there is San Diego went with a competitors product and if they would’ve went the rout buying body cameras from Digital Ally, it possibly would have saved them nearly $1 million over I think the five year contract that they had there. So Sam, that’s the best way I can explain it. There’s a little difference in our business model, but we clearly have the better gadgets.
Samuel Bergman - Bayberry Asset Management: Is your competitor being specked out more often than you and therefore they will always get the price, almost like Motorola with their radios versus other competitors.
Stan Ross: Yes, I mean you are right. I mean at some point they get to see your product, they like it and the bids go out specked to your product, and that’s where I was getting back to the sales force that, if they can see the difference in quality that we can provide versus our competitors, they are going to want to go that rout. As a matter of fact there is a real nice article written up over in Saint Louis, Missouri in regards to one of our competitors units and ours and the reason they went with us was because of the video quality. So we are very hopeful that we can do a great job of exposing our products to the agencies and then they’ll be putting out RFPs that will be specked to us.
Samuel Bergman - Bayberry Asset Management: Now last question, in terms of new products, what kind of new products are out there on the horizon over the next 12 months?
Stan Ross: We are still always looking at ways to improve in regards to the in-car video and the body cameras. We will have different versions of that over the next 12 to 18 months. We also have a few products that we are working on that are actually in a little difficult sector of law enforcement that we will be entering in 2015. And then the commercial business, we have I think really hit a milestone in regards to the asset tracking and video combination that we are now able to offer in that arena. As a matter of fact, we have several large insurance companies that are coming to town to possibly partner up with us in 2015 and see if we can’t work together. Because as I mentioned in the past, those fleets that have some form of big brother looking over their shoulders, whether it be in regards to just Medidata and/or video are having 29% less incidence then those that do not. So it’s a big savings not only for the end user, but also the insurance companies that are insuring them.
Samuel Bergman - Bayberry Asset Management: I see. Thank you very much.
Stan Ross: Thanks Sam.
Operator: Our next question comes from Tom Mercer [ph]. Please go ahead with your question.
Unidentified Participant : Hi guys.
Stan Ross: Hi, Tom.
Unidentified Participant: I was wondering how many shares are out there, now that there have been these warrants and senior convertible notes?
Tom Heckman: I would say that November 3 is last date that I have for numbers, just a tad over 3 million, 3,010,000 million shares.
Unidentified Participant: Okay, thank you.
Stan Ross: Thanks Tom.
Operator: Our next question comes from Greg Graves [ph]. Please go ahead with your question.
Unidentified Participant: Thank you. My question regards the comment about the competition and you’re referring to the need to sign these storage contract. Are you referring to the Axon product that Taser is offering as far as the storage contract is concerned?
Stan Ross: They are one of our competitors that do a cloud solution and has a, call it a contract type of marketing approach. There are a couple of others that are out there that are looking at go that way also, but they are not as robust as what Digital Ally has or Evidence.com has.
Unidentified Participant: So their total cost over a period of say three to five years is going to be significantly more than the Digital Ally product?
Stan Ross: Yes, based upon the numbers that we’ve been able to see, that have been published, as a matter of fact you can even look I believe in Forbes, there is an article that’s there that the numbers are put out there for everyone to see. Based upon those scenarios where we’ve been able to actually get their information, we’ve been able to determine that we would clearly be a less expensive option for them.
Unidentified Participant: All right, thank you. One operational question, for the last about six quarters, you carried about $8 million in inventory of which about 6 million is finished goods. Why are you running such a high finished goods inventory?
Tom Heckman: Well, this is Tom. It is too high and we’ve been trying to work that down, but we’ve been in the process of a conversion of our product line and we’ve been building up the DVM-800, which we just started shipping in late December 2013; its now 55% of our revenues. So it happened quicker than we thought it was going to happen and we are working off and we are liquidating the other inventory, but the switch over in sales mix to the new products was much more quickly or happened much more quick than we anticipated and as a result we have some overhang.
Unidentified Participant: Okay. Would I expect that or should we expect that to be going down in the next couple of quarters?
Tom Heckman: Well, the long term trend, yes. The short term trend, I will caution you that as Stan mentioned before, we were expecting a fairly large order in the fourth quarter and we have inventory and supply chain in process to accommodate that fourth quarter delivery that may not happen until the first quarter and probably won’t happen until the first quarter. So there may be some overhang at year-end, but we have a home for it, right.
Unidentified Participant: Okay, thank you. Last question and that is, could you tell us how many employees you currently have?
Stan Ross: There’s 109 permanent employees that we have right now. We do employ some temporaries and contract labor as well, but permanent employees are109.
Unidentified Participant: All right, thank you very much.
Operator: Our next question comes from Eugene Gee [ph]. Please go ahead with your question.
Unidentified Participant: Question is, there is lots of activities happenings, lots of resources that need to be used. Looking at the cash flow statement, we have a cash burn rate of 3.7 from operating activities and cash is only 2.8. So when we will be raising additional money?
Tom Heckman: This is Tom; I’ll answer that. We had $1 million order right at the end of the third quarter with one of our large state police agencies that was wound up in receivables. That cost us $1 million in cash flow on the operating line for the third quarter. So that had a significant impact. The second thing to remember is that we have restricted cash as well on the balance sheet, the $1.5 million, as soon as hopefully the shareholders approve the 20% NASDAQ cap, then that $1.5 million becomes unrestricted and available for our use. So we are going to have $4.5 million of cash at the end of September, which increased dramatically after September 30 as we collected that $1 million contract receivables. So are cash flow is very healthy, our cash position is very healthy. We expect to correct our outflow from operations in the near term.
Unidentified Participant: So, what you are saying is for the next 12 months we have sufficient cash that we don’t need to raise any cash and we will be able to meet all this increased activities, because it takes resources to glade in front of the agencies and where you have different potential customers?
Tom Heckman: Right, in fact Gene, that’s why we did the raise in August to prepare for what we believe is going to be a heightened level of activity in the next 12 months. We’ve done our cash flow modeling, we’ve done our projections and we are comfortable that that raise in August, that $4 million raise plus the 260,000 warrants or whatever will be sufficient to cover us at least for the next year and we’ll restore positive cash flow from operation during that time period with the increased activity level.
Operator: Our next question comes from George Whiteside from SWS Financial. Please go ahead with you question.
George Whiteside - SWS Financial Services: Good morning, Stan.
Stan Ross: Good morning, George.
George Whiteside - SWS Financial Services: Question is, you were at the IACP Conference and did you see anything that would be competitive to the VuLink?
Stan Ross: Well, okay, good question. In regards of the VuLink there was a competitor that – there was actually two of them that announced that they were going to have something similar to the VuLink that they were going to be introducing. Neither one of the two parties that made that announcement were able to show or did show that product at the IACP. Again, we have patents on that, a pretty broad patent on that as well as far as the VuLink and so it will be interesting to eventually see when they do come to the market place whether or not they would be violating our patents. But no, at the show there was nothing there that we seen at all.
George Whiteside - SWS Financial Services: All right. My second question is with the price competition that you apparently face. Is there any way that you can overcome the issue of making a competitive proposal as individuals are -- or not individuals, but your competitors are trying for a contract?
Stan Ross: Yes, I think what you are going is, our number one competitor who has a product out there – again, I’m not talking gadget-to-gadget, because we win that all day long as far as performance. But price wise they are a couple of hundred dollars less expensive than us. We have no problems with the VuVault.net cloud solution and to go ahead and work with them, and we have contracts that are out there where we will come offer our price and will go ahead enter into a two, three year contract much like one of our leading competitors is doing. So, we can get competitive. If that’s what they are wanting, we can get there.
George Whiteside - SWS Financial Services: Well, with this you’re commenting about the competitive situation. How are you going to be able to maintain a 60% margin?
Tom Heckman: Well George, this is Tom, We’ll try to address that. One thing to bear in mind, 55% of our revenues in the third quarter was on the DVM-800. That’s a completely reengineered new product that we introduced in December of 2013. We took price out of that thing. That unit is competitively priced, got an optional five-year warranty on it that I believe none of our competitors can match. I think it’s been disruptive. I think our competitors are scratching their head trying to figure out how in the heck we do that and how they can compete with us. Feature wise, we are up there with any of them. Price wise we are 1,000 or 2,000 less than them. So, I hear you there is competitive pressure in certain markets, but it won’t be in one of them. But in the in-car video we have the hot product of the in-car video market right now.
Stan Ross: George one other thing to and Tom you can touch on this, is that what we may be fail to talk about is, but we were a little bit surprise at how many of the departments went ahead and are taking our five year warranty program; they are taking that option. So we’ve got somewhere between what, $400,000 deferred revenue on our books.
Tom Heckman: No, it was 760,000; it’s quite large. The accounting for that everyone is, we charge an extra $500 for a five-year warranty versus a two and with the guaranteed buy back, our trade-in price at the end of that. That $500 although we collected upfront when we billed for the product we don’t get to recognize that revenue until the third, fourth and fifth year that the product is out there. So it’s going to sit on our balance sheets; it’s going to be future profit or mostly profit for us when that thing turns around.
Stan Ross: Yes. And you got to realize too, we’ve got a tremendous track record in regards to designing very solid reliable products. I mean we have less than, we’re right at a 2% failure rate. I mean that is clearly one of the better, most reliable products out there in the industry. So we are very comfortable, I mean like with the most solid stay systems, because if your going to have a problem, your going to have it early on, but if that problem doesn’t occur, these products much like our DVM-500s, some of our legacy products that are still around after seven years of being out there in some very harsh environment and we are referring to as Mexico that has what, 6,000 units of DVM-500s running around down there. So we are looking pretty good George and again, because of the accounting procedures some of the stuff we just weren’t able to recognize yet.
Operator: And our next question comes from Raymond Patel [ph]. Please go ahead with your question.
Unidentified Participant: Mr. Ross, you mentioned earlier in your opening that opening the door several times, which I like to hear, which is a very good thing that you are setting over with the new employees you are going to hire and all that. So with that said, obviously managing company or business is proceeding as anticipated I suppose in the realm of marketing. However, you also – the CFO also mentioned that the stock was $33 whatever and we got in trouble with handling the derivatives and cleaning it up. So that sort of managing the stock is to me seems like you have two different situation in parallel and I’m concern saying that in the next quarter, how much less troubles or issues, these two issues will bring to the table?
Tom Heckman: Well, I’ll try to answer. This is Tom. The derivates, it’s at the rim of the market. Again, its counter intuitive; its inverse to what you would think. The better the company does and the more profitable it is and the more contracts we get and the more revenues we announce, presumably the higher the stock price will go, and that has an inverse - that increases the derivative value or the warrants, although again it doesn’t mean we got less money, it doesn’t mean we have to pay money, it doesn’t mean anything, other than its an accounting entry, its accounting charge, its non cash in all respects. So I can’t tell you unless you tell me you what the stocks going to do for the rest of the quarter, where those derivates are going to end up. That’s the issue with derivates. They are all over the place and unfortunately they’ve really muddied up the complexion of our financials statements.
Unidentified Participant: With that said then, do we have any good confidence from the management side. The stock is around $12. Do you have good confidence that we can do something to stabilize the stock price?
Stan Ross: I mean at the end of the day Raymond its all about numbers. We got to get back to and I think Tom gave you a pretty good indication of where we are at so far in the fourth quarter, but it’s all about making money. At the end of the day you got to get the valuations based upon the company making money and so that is the goal at hand and I think we’ve done the appropriate things as far as product development and to have a superior lead over our competition out there. Now lets just make sure all the agencies know about it and lets got out and get the revenue side of it, the top side of it, because we do have good margins in our products, so we could be very competitive on all fronts and that should go to the bottom line.
Operator: Our next question comes from Aaron Martin from AIGH Investment. Please go ahead with your question.
Aaron Martin - AIGH Investment: Hi guys. You talked about hiring more sales guys and chasing the opportunities that are out there right now. Where do you think operating expenses, quarterly operating expenses are going to go to implement these things?
Tom Heckman: Well, this is Tom. It really depends on how quickly we are able to do that. I mean we are undertaking a pretty large task there to double the sales staff and the technical support people that have to support that sales line.
Aaron Martin - AIGH Investment: I’m not going to hold you to the time frame, but for however long it takes you to do that process, setting out to do it is a big task, but what does that do to make your quarterly expenses to bring in 20 more sales guys.
Stan Ross: Well, obviously the expenses are going to go up, but the revenue side, the top line better increase too.
Aaron Martin - AIGH Investment: No, no I understand that, I understand why you are doing it. I’m just trying to help out on the model.
Stan Ross: Okay.
Tom Heckman: Well, its probably going to be in the $600,000, $700,000, $800,000 range annually for that.
Aaron Martin - AIGH Investment: Got it and then you talked a couple of times about a large order that you though you’d be able to deliver in Q4 and perhaps slipping into 2015. Is that the large international order that you thought you’d be able to deliver in Q4?
Stan Ross: We actually have - the international – how do I explain this?
Aaron Martin - AIGH Investment: Is that part of it.
Stan Ross: It is part of it, yes, but the international side of things has greatly became more active over the last six months in regards to T&Es and sizeable contracts that we are in talks with right now. So again, this is one of those things and again, those are very hard to predict, but you could have two or three hit in one quarter and really make things look choppy, coming up during the first and second quarter, who knows.
Aaron Martin - AIGH Investment: Okay, thanks. That’s it from me.
Operator: Our next question comes from Austin Hopper from AWH Capital. Please go ahead with your question.
Austin Hopper - AWH Capital: Good morning guys. Thanks for taking my question. You’ve talked a fair amount about your body camera and about Taser I guess being kind of the number one competitor. Can you give us a sense for the market share that Taser has versus what you have in that market? Thank you.
Stan Ross: Yes, the biggest thing with going and competing against Taser is that they’ve already got their foot in every door. I mean their non lethal weapon side of things, the Taser product is everywhere and so they have access to and their capabilities of getting their foot in the door and talking to people and they are probably talking to people every month anyways as the departments are reordering cartridges or stuff like that. So that’s where they just – that kick our buts. They have that connection infrastructure already in place. So we are just going to try a lot harder with a lot more people to get our foot in the door and just say, also we are asking you to do is compare the products and then I think we are going to be very happy with the outcome, so....
Austin Hopper - AWH Capital: Is that actual asset in the market share?
Stan Ross: Well, okay so in body cameras I mean I don’t have a good idea on – even if I don’t even think it, all of us combined I don’t we’ve even got close to the 10% penetration of the potential market in regards of body cameras.
Austin Hopper - AWH Capital: Right, I understand you’re saying the actual market exists today and how much Taser has of it versus what you have of it?
Stan Ross: Do you remember the numbers on the body cameras and stuff?
Tom Heckman: They are probably beating us three to one may be. They are probably beating us three to one in regards to it.
Austin Hopper - AWH Capital: Okay, so your body camera revenues in the last quarter with Taser would had kind of 3X, is that what you are saying?
Stan Ross: Correct.
Austin Hopper - AWH Capital: Okay, thanks.
Stan Ross: Yes. And again, we are talking more of the body camera and not the cameras that they have on their weapons and stuff.
Operator: And our next question comes from Patrick Hadord [ph]. Please go ahead with your question.
Unidentified Participant:
Stan Ross: If we had two of the large orders, with the one that we were anticipating in the fourth quarter and some of the other stuff here had at the exact same time, we would be challenged to deliver both those large orders. Now depending on when they happen and within a quarter we possibly could, but again I think Tom has sort of cover this, that’s why you may see the inventory little bit of the high side, because we definitely were building and going to be prepared for that order to hit in the fourth quarter.
Unidentified Participant: Okay, so if we did get another order for the first quarter of next year down, we should be pretty well covered, you’d be able to handle it, is that what you are saying?
Stan Ross: We’d have to have it early in the first, because again some of these are long lead components and we are definitely doing our best to anticipate the timing of those orders, but if we got hit within late February or March, it may be a challenge to get two large orders out of those size.
Unidentified Participant: Well yes, if it came in real late in the first quarter, yes then I understand. But basically you are already prepared to fill that order, the $22.5 million order for the first quarter. You are basically getting yourself prepared to fill that in by the end of this quarter?
Stan Ross: Yes, and again it was not a $22.5 million order, but it was a very large order that would have helped us get to that benchmark. And yes, we will be prepared for that order. 
Unidentified Participant: Okay, very good. Thank you.
Stan Ross: Thank you.
Operator: And our final question is a follow question from Sam Bergman from Bayberry Asset Management. Please go ahead with your question.
Sam Bergman - Bayberry Asset Management: Yes, a couple of follow-ups. One, regarding the derivatives on the balance sheet. How much longer is that going to remain on the balance sheet?
Stan Ross: The derivatives will remain until one or two things happen, either they are exercised by the holder or they expire and the expiration data is five years down the road. But quite frankly, if you look at it, the exercise price on the outstanding warrants today are $7.32 and our price yesterday was in the $12 range, $12, $13 range. So I would suspect that if and when the share holders vote to approve the 20% NASDAQ cap exclusion that the holder, that would go ahead and exercise that warrant fairly quickly, because they are in the money and at that point, then they would terminate and we know if there is a loss or gain or whatever on that derivative bucket and then we are done with it.
Sam Bergman - Bayberry Asset Management: Okay and the last question on the inventory that you show at the end of the quarter, should we expect any write off’s on any of that inventory after the next quarter?
Stan Ross: Well, we continue to look at that. I can’t tell you that there won’t be additional write offs; they won’t be significant, I can tell you that, but we continually updated it. I think I said during the quarter we looked and said well, it’s the right time to write off all non-wireless product and previous versions of our legacy products that are not wireless capable. So that happened in the third quarter. That was kind of atypical. That doesn’t happen every quarter obviously. But we will look at our inventory position where we are heavy and so on and so forth, but I don’t expect large write-offs at the end of the fourth quarter.
Sam Bergman - Bayberry Asset Management: Okay, thank you very much.
Stan Ross: Thank you, Sam.
Operator: We do have time for one additional question from Patrick McEvoy [ph]. Please go ahead with your question.
Unidentified Participant: Oh yes, hi. A couple of questions; one is, are there any tax benefits for the derivative loss that’s on the sheets?
Tom Heckman: Well, this is Tom. I’ve not gone through it in detail with our tax advisors. I am not a tax person myself, but having said that, my belief is that we do get a tax reduction for those derivative losses when the warrants are exercised and the convertible debt is converted. That’s my belief, but again, I have not consulted in detail with our advisors or experts on that.
Unidentified Participant: Okay. Another question is, have you guys looked into the AXON signal wireless tech that Taser came out with and is there patent infringement on there or possible?
Stan Ross: Are you talking about the product that – we’ve seen their announcement, but we did not get to see it, and I don’t believe it was present at the IACP, and I believe that they even stated on their call that it wasn’t going to be available until first quarter, but we don’t have enough information on that Patrick.
Unidentified Participant: Okay. And now just one last question, simple question is, the goods that are being shipped to Mexico, are any of those legacy goods that are on the books?
Tom Heckman: Yes, the Mexico order and I think we announced this in the press release, was a refurbishment order for spare parts and actual services to refurbish the legacy products that were shipped down there six seven years ago. And again, they’ve got over 6,000 units in the field deployed and obviously it’s a large program to refurbish that number of units.
Unidentified Participant: So, is that going to take quite a bit of the inventory that you have in the books to fulfill that order or subsequent orders?
Stan Ross: Well yes, it will come right out of the balance sheet and our inventory balances. Most of that stuff is sitting there. There’s a couple of cables and that sort of stuff that we may have to go out and get made again, but by and large the vast majority of that will come out of our inventory balances.
Tom Heckman: Yes Patrick, one of the things you know – that was a question in regards to additional stuff that we may have to write-off as far as inventory, but again the 750 is definitely a legacy product that’s still out there and working and it still has an audience, that people still buying them and definitely want to keep them up in going, so. We find ourselves not only getting in and cleaning out our inventory, but in certain cases happen to go by additional, which could be a challenge, because their units are seven years old. So yes, is the question.
Unidentified Participant: Right, okay great. Thank you.
Operator: And ladies and gentlemen, at this time I would like to turn the conference call back over to management for any closing remarks.
Stan Ross: Well listen everybody, thanks a lot for participating. Thanks for the great questions. We really look forward to visiting again as we continue to be moving in the right direction. I think the fourth quarter is going to be exciting and sort of a tell-tell in regards to how 2015 is going to be shaping up for us as well. So we’ll try to keep in touch. Please feel free to reach out to us at the office any time and we’ll do our best to keep you informed. Thanks everybody.
Operator: And ladies and gentlemen, that does conclude today’s conference call. Please note that to access the digital replay of this conference, you may dial 1-877-344-7529 or 1-412-317-0088 beginning at approximately 2:00 p.m. Eastern Time today. You will be prompted to enter a conference number, which will be 10055792. Please record your name and company when joining. The conference is now concluded. We thank you for attending today's presentation. You may now disconnect your telephone lines.